Operator: Good morning and welcome to the UnitedHealth Group second quarter 2020 earnings conference call. A question and answer session will follow UnitedHealth Group’s prepared remarks. As a reminder, this call is being recorded. Here is some important introductory information. This call contains forward-looking statements under U.S. federal securities laws. These statements are subject to risks and uncertainties that could cause actual results to differ materially from historical experience or present expectations. A description of some of the risks and uncertainties can be found in the reports that we file with the Securities and Exchange Commission, including the cautionary statements included in our current and periodic filings. This call will also reference non-GAAP amounts. A reconciliation to GAAP amounts is available on the financial and earnings reports section of the company’s Investor Relations page at www.unitedhealthgroup.com. Information presented on this call is contained in the earnings release we issued this morning and in our Form 8-K dated July 15, 2020, which may be accessed from the Investor Relations page of the company’s website. I will now turn the conference over to the Chief Executive Officer of UnitedHealth Group, Mr. David Wichmann. Please go ahead.
David Wichmann: Good morning and thank you for joining us. When we last met in this forum 90 days ago, the challenges of COVID-19 in the Americas were just beginning to emerge. Now some four months into the evolving pandemic, the individual health system, social and economic implications of the virus are better understood and significant, especially the impact of longstanding health disparities affecting the underserved populations hit hardest by the pandemic.  In uncharted periods such as these, we lean on our mission and culture of values to guide us. That mission and those values call on us to help people, to help health systems, to help everyone with integrity, compassion, innovation, relationships, and performance. I am grateful to and proud of our 325,000 diverse team members as they continue to provide vital support, caring for those we serve and working with the health system partners to combat this disease and the many other daily health challenges that have not gone away, they’ve just been deferred and possibly become more complicated. We deeply appreciate the tireless service of our 120,000 doctors, nurses, medical and behavioral professionals, social workers, pharmacists, and other healthcare workers on the front lines of care. They serve in Brazil, Chile, Colombia, Peru, and Portugal. They serve in New York City, Seattle, southern California, Phoenix, Texas, Florida, and other communities confronted by COVID-19. Their compassion for our patients and members has saved lives and helped make the lives of countless other people better. UnitedHealth Group was built to be adaptable, an instinctive enterprise capable of anticipating change, rapidly evolving and re-configuring capabilities to meet both challenges and opportunities. The past several months have only highlighted the importance of this agility so long core to how we operate, and deepened our resolve to cultivate it. We’ve witnessed our people helping in ways and advancing innovations and solutions at an unprecedented pace, scope and scale.  Today, I’d like to provide insights into how our business is both responding and advancing, share what we’ve learned in the past several months, describe how these lessons enhance our ability to serve even more people more deeply, and as a result we expect to grow and emerge stronger in the years to come.  UnitedHealthcare and Optum have both experienced the effects of an unprecedented decline in healthcare services. Among early actions we undertook to help people were opening new enrolment periods so more people could be covered, waiving all consumer COVID-19 diagnostic and treatment costs, accelerating $2 billion in needed funding to care providers, and providing over $1.5 billion in direct consumer and customer assistance, including premium forgiveness and suspension of member cost sharing to help people manage their health conditions. These amounts are in addition to the $1 billion in estimated rebates to be paid in coming periods. Throughout this pandemic, we have taken extraordinary measures to ensure people get the essential care they need. As we speak with you today, care access patterns are nearing more normal levels, an encouraging sign for people’s health. We see the system operating just short of its normal baseline now, far above the lows experienced as the second quarter began. We currently expect care access patterns, while somewhat more volatile than in the past, to moderately exceed normal baselines in the second half as people seek previously deferred care, and a pandemic with high testing and treatment costs per affected consumer is expected to continue to run its course throughout 2020 and into 2021. Consistent with the proactive actions we’ve already undertaken, we will continue to act swiftly to address any further financial imbalances arising from the pandemic and related effects.  We are further advancing broad health equity initiatives tapping into our data, information and analytics capacities to guide scientific efforts to help eliminate longstanding health disparities. This is a course we have pursued for many years and are now even more intentional as we see underserved populations disproportionately impacted by this health crisis. We established an innovative community-based care model to provide COVID-19 testing, education and other necessary services to some of the highest risk and least served communities in the country. We are focusing on locations with high mortality along with local community challenges, including poverty, crowding, food insecurity, homelessness, and other existing social determinants of health. Our service includes special deployments in the underserved communities of Philadelphia, Los Angeles, and Orleans Parish, alongside many other similar communities we serve through our core Medicare and Medicaid programs. We are researching new treatment approaches in partnership with prominent academic institutions. For example, working with the Morehouse School of Medicine, we’re studying the effect of COVID-19 on those with sickle cell trait, a condition which is prevalent in 8% to 10% of Black Americans. We’re conducting an ACE inhibitor virtual clinical trial with the Yale School of Medicine. Artificial intelligence applied to our data showed that seniors on ACE inhibitors who test positive for COVID-19 are 40% less likely to need hospitalizations than those who are not. Understanding that there’s a significant racial disparity in the use of ACE inhibitors to manage hypertension, we’re working rapidly to scale this 10,000 person virtual clinical trial, believed to be the first of its type. We’re partnering with a growing number of state governments and employers who are using Optum’s rapid response resources to stand up mobile and fixed testing sites. To date, we have helped conduct more than a half a million tests across more than 500 sites, most often in rural and underserved communities. We committed another $100 million in affordable housing to address homelessness, bringing our total investments to more than $500 million to build nearly 5,400 units over the past seven years, and we will do more, focused on working with others to eradicate longstanding health disparities in America and to create a more diverse U.S. health workforce. The COVID-19 crisis has accelerated the adoption of new technologies and approaches to care. We’re serving people where they want to be served and more often in the home, which is becoming a preferred additional care setting, through new innovative digital offerings. At peak care system closure in April, UnitedHealthcare facilitated more than 4 million digital care visits, the number of visits we enabled in January. We expect digital and homecare to persist and expand in coming years. We are rapidly assembling our next generation comprehensive platform, leveraging the digital signaling and monitor capacities of Vivify, the market-leading engagement capabilities of Rally, our AI-enabled individual health record, the pharmacy ecommerce capabilities of OptumRx on community-based clinical resources, and importantly a proprietary, scalable direct to your own doctor’s telemedicine platform.  The understandable and expected rise in stress, anxiety and social isolation [indiscernible] services, digital platforms are proving to be increasingly effective in remotely diagnosing and caring for people with such needs with a rapidly expanding scope. Optum is among the largest providers of digital behavioral healthcare services in the country, now with more than 10,000 care providers using our virtual visit platform. Our digital psychiatry offerings extend to community behavioral health clinics and [indiscernible] and complements our more than 500 community-based behavioral health pharmacies.  Optum nurses are meeting the increasing need for infusion services in the comfort and safety of people’s homes, [indiscernible] will accelerate for years to come, and our nurses offer fully equivalent clinical efficacy, greater patient convenience and satisfaction, and reduced risk of immuno-compromised people at up to one half the cost of traditional settings, and our house call services include extensive digital clinical care visits supplementing in-home visits by Optum nurses.  As clinical techniques and technologies advance, ambulatory surgical care is expanding as an appropriate care setting for high acuity members and procedures, like cardiovascular surgeries. Partly as a result of convenience, safety, and better patient and surgeon experience [indiscernible]. For example, in just the last two months, [indiscernible] new surgeons to our centers and have opened new and higher acuity service lines. We [indiscernible] this care model to accelerate. The recent months have served as a compelling example of why care delivery has [indiscernible] OptumCare continues as a physician partner of choice with over 6,500 additional clinicians, primarily PCPs, specialists, nurse practitioners, and physician assistants added so far this year. These clinicians are seeking alignment with the entity best equipped to help move to high performing and more stable accountable debt entity is OptumCare.  These are a few example of how we have and continue to innovate to help make people healthier to help make health systems work better for everyone. The information and technology capacities of Optum, leveraged and deployed by United Healthcare and other payors in other health systems holds significant promise for the future of the U.S. health system.  Now I’ll turn it over to our Chief Financial Officer, John Rex.
John Rex: Thank you Dave. As expected, our [indiscernible] impacted by unprecedented and far reaching disruption in care patterns. We expect this temporary impact [indiscernible] by the proactive assistance measures we have already taken, the resumption of more normal care patterns, and future COVID-19 impacts both within the healthcare sector and the economy at large. Looking more specifically, Optum revenue and earnings for fee-for-service care delivery and the OptumInsight and OptumRx volume-based businesses [indiscernible]. For the company as a whole, this was more than offset by the disrupted care patterns within the United Healthcare and the Optum Health risk-based businesses.  Prior period development of $1.4 billion arose primarily from the lower than expected care levels in the second half of March, contributing to the lower medical care ratio this quarter. The impact of this care disruption is reduced by factors such as COVID-related treatment and testing and the financial assistance we are providing. Notably, the assistance component has a more [indiscernible]. For example, the suspension of member cost share will have an accelerating benefit and corresponding impact for the people we serve as care delivery systems further reopen and they seek care again.  At the lowest point in April, in-patient care inclusive of COVID-19 related care was [indiscernible]. In June, this recovered to nearly 95%. At the same lowest point, outpatient and physician services fell to roughly 60% of normal levels. As we exited [indiscernible] tracking above 90%. These national trends [indiscernible] even as certain states are seeing short-term deferral of services where there are elevated levels of infection and hospitalization.  [Indiscernible] each of the three businesses performed well, while they were affected in different ways by care deferral and the economic downturn. Second quarter earnings increased 22% year-over-year. The impact of the lower patient [indiscernible] mostly offset by the same temporary deferral of care effects on [indiscernible]. OptumInsight second quarter earnings increased 7% year-over-year while the revenue backlog grew by nearly $1 billion to $19.4 billion. Many of OptumInsights payor and care provider clients have volume-based contracts for technology and managed services. After an expected slowing of such volumes early in the second quarter due to care deferral, we’re now seeing activity rebound and [indiscernible] again, as evidenced by the new partnership with Boulder Community [indiscernible]. OptumRx earnings declined by 6% year-over-year in the second quarter as script volumes were impacted by [indiscernible]. Unsurprisingly given the sharp drop in primary care and specialist visits, first fills of prescriptions declined by about one-third early in the second quarter, but began to recover as the quarter progressed and have continued to do so as care activity increases.  Turning to UnitedHealthcare, second quarter operating earnings were significantly higher due to the temporary care [indiscernible] continue to serve more people through our public sector and senior businesses, including an increase through the second quarter of nearly 600,000 people year to date. As [indiscernible] commercial enrolment declined, albeit [indiscernible] might have suggested [indiscernible] for furloughed employees.  During the second quarter, growth in sales of individual polices and Medicaid membership accelerated, the latter as states eased redetermination requirements to ensure sustainable coverage for people. We were also awarded contracts to serve Medicaid members in Kentucky in 2021, serve the Medicaid population in Indiana, and are pleased to continue serving in Philadelphia. After a strong annual enrolment period for Medicare Advantage, the pacing of new enrollees in April and May eased as traditional in-person sales slowed. Sales have accelerated with the current level of Medicare Advantage enrollment activity having rebounded to [indiscernible]. Our liquidity and financial position have remained strong [indiscernible] reached $10 billion or 1.5 times net earnings. Both cash flows and days and clients payable were impacted by the swift moves we undertook to provide enhanced liquidity by accelerating payments to individual care providers and health systems. Offsetting this impact was the timing of second quarter income tax payments, which will now occur in the third quarter. As noted in our press release this morning, we are maintaining our full year earnings per share outlook in anticipation of the delivery of previously deferred and potentially even higher acuity care as well as continued costs to address COVID-19 in the second half of the year. We are encouraged by the rapid pacing of the reopening of care delivery systems and are proactively working to help people quickly obtain the care they need. In addition, we incorporate a second half view for a more pronounced impact from the consumer, customer and care provider assistance initiatives already undertaken. As Dave stated, we will act to address further imbalances, should they arise over the duration of this pandemic. With that, I’ll turn it back to Dave.
David Wichmann: Thank you John. Today in the midst of the COVID-19 crisis, foremost on our minds is the safely of our team members and their families and the need to continue adapting rapidly, innovating and delivering for those we serve. [Indiscernible] begin to focus at this time on what will come in 2021 and beyond. At this distance, the evolution of the pandemic, when and to what extent the economy will improve are very much open questions. We expect the macroeconomic impacts of the broader unemployment and actions we have taken to assist customers and communities to continue well into next year. Helping our customers through an unexpected macro environment and the extended impact from disruptions in care has and will continue to be an area of intense focus for our business leaders and care providers. During this period, our diversified businesses are creating unique opportunities to serve, and we don’t believe these are just passing trends. They bring more effective clinical outcomes, satisfaction and convenience for people at lower cost, a significant contribution to the next generation health system, one that operates in a socially conscious way. These are accelerating and durable trends, well supportive of our 13% to 16% long-term growth objective in the years to come.  Public sector and senior benefits programs, our care delivery businesses, our digital and at-home based initiatives, pharmacy care services, data and analytics, and health banking and payment platforms will continue contributing as significant growth factors long into the future.  Thank you for your time today. Operator, can you please open the lines for questions? 
Operator: [Operator instructions] We’ll go first to Justin Lake with Wolfe Research. Please go ahead, your line is open.
Justin Lake: Thanks, good morning. Wanted to follow up on your comments on second half medical costs. You talked about getting back to about 90% of typical in June, or a little above 90%, and you’re expecting north of 100% of second half, so was hoping you could put some numbers around a few things. First, how much above normal do you expect to be in the back half of the year, how much of a headwind do you expect the patient and client give-backs to be in the back half in terms of the headwind MLR, the impact to MLR, and then can you talk about how you price in 2021 in terms of utilization? Thanks.
David Wichmann: Okay, well maybe we’ll start with John and then as it relates to 2021, I’m sure you can talk about the commercial markets, and we’ll have Dirk address that. 
Justin Lake: Medicare would be great as well, Dave. Thanks.
David Wichmann: Okay.
John Rex: Good morning, John Rex here, Justin. Just a few comments here in terms of medical cost ratio and the impacts of customer assistance and how they flow through the year. Yes, you are right - clearly we expect higher than historically normal medical cost ratios as we move into the second quarter of the year, and that’s certainly implied in our maintained guidance view. You can see as you look at it versus historical levels of a typical second half, we’re running in the zone of a couple hundred basis points above what we would consider kind of historical medical cost ratios in the second half of the year, to kind of give you a little color in terms of how that flows through. In terms of the customer assistance initiatives and how those play out, among some of the more significant customer assistance initiatives that we are taking on are the waiving of co-pays for seniors for both primary care and very importantly on the specialist component, as that’s a very significant burden for seniors. Those really have much more impact as we get into the second half from the perspective of as care delivery systems reopen, that’s when those costs will be incurred, so you’re incurring those costs as seniors and people are really accessing that care, and that’s where the assistance component comes in. That component, which is one of the more significant components of the customer assistance initiatives we’ve undertaken, is really more weighted to the back half of the year than the first half of the year.
David Wichmann: Great, thank you. Then as it relates to pricing, I think we’ll start with Medicare with Tim Noel and then we’ll go to commercial with Bill Golden. Tim?
Tim Noel: Morning Justin, Tim Noel, thanks for the question. As we talked a little bit last quarter about pricing for 2021 in Medicare, and as a reminder, pre-COVID we talked about total revenue related items roughly on part with our estimates of forward trend, and we also have the repeal, the permanent repeal of the Health Insurance Tax in 2021, so if you take those things, all else equal we would expect that 2021 to be a benefit investment year on the Medicare Advantage. Certainly COVID creates some challenges with diagnosis collection, given the utilization patterns that we’re seeing and talking about, and also CMS has not provided any discrete adjustments in the final notice to account for that, nor have they done anything since. It’s still too early to get specific on our bid offerings for 2021. Bids aren’t final, nor are they public; but again, our top priority is providing stable and reliable benefits for the members that we serve, and we feel really good about 2021 and expect to continue our multi-year momentum in Medicare Advantage. Thanks.
David Wichmann: Thanks Tim. I’d just add to that, I think the way the year is setting up, and I know it’s relatively early, but in terms of the overall positioning is to continue the pace of growth that we have been seeing across the individual Medicare Advantage lines, and then obviously we’re deeply focused on the group Medicare market and growth there as well. Bill Golden, do you want to handle commercial?
Bill Golden: Sure, thanks Dave, and thanks for the question. We’re going to continue our longstanding approach to pricing - you know, we’re disciplined and we’re pricing to our best estimate of future cost trends. We have extensively modeled the potential impact to covid-19, including our testing and treatment costs, potential vaccine costs, and costs that will be expected to be deferred into 2021, which includes the potential higher severity because of the deferred care and also the potential for continued depressed demand for healthcare services in some regions and states. All this is built into our forward view of medical cost trends, and we’re working very closely with our customers right now into August as we start to put out our renewals for 2021. Our clients are really expecting and appreciating consistent and stable pricing from us.  Thank you.
David Wichmann: Thank you Bill, and thank you Justin for your question. Next question, please.
Operator: Our next question is from Josh Raskin with Nephron Research. Please go ahead.
Josh Raskin: Hi, thanks. Good morning. Wanted to talk a little bit about the impact on the physician side and Optum Health, OptumCare, specifically the recruitment of physicians and maybe how that’s changed. I think there was an allusion in the press release to maybe an acceleration of bringing in more primary care and maybe some talk on specialty. Then can you flesh out sort of within that, within OptumCare, the impact was a lot lower than I think we had expected. I heard John mention the risk-based entities offsetting the fee-for-service entities. Can you just give us a magnitude on that and how much the UnitedHealthcare payments impact, sort of how did OptumCare hold up so well?
David Wichmann: Good questions, Josh, appreciate them. We did try to lean into this a little bit in the script in terms of giving a general impression that there’s a kind of movement afoot of physicians, advanced practice clinicians towards stable models that allow them to preserve their independence practice at the top of their license, achieve the triple-A in the healthcare, and we’ve clearly seen that. Then we’ve also, as you probably can suspect, had a fair agenda around inorganic build to access new geographies, and we’ve made a decent amount of progress on that front during this time frame as well.  But I think I’ll send it to Wyatt Decker here, he can talk a little bit about the value proposition of OptumCare and what people are seeking at this important time, and why this model is the one that they are pursuing. Wyatt?
Wyatt Decker: Dave, thanks, and Josh, thanks for the question. You’re absolutely right, Dave - we have seen continued interest and growth in our OptumCare model, which has become really the nation’s predominant physician-led, value-based, patient-centered ambulatory medical practice. That may sound like a mouthful, but it’s really focused on doing what’s right for patients, delivering care in both more convenient and lower cost settings in a value-based construct, keeping the patient at the center of everything we do. We’ve seen, to the second question, Josh, around the performance of OptumCare, we’ve seen that our large geographic footprint combined with our both risk-based and fee-for-service model has created substantial resiliency in the business, and as John Rex mentioned, we saw some countervailing financial performances when fee-for-service got quieter during the peak of the pandemic. We’re now seeing very rapid recovery in part because of our tremendous support of our frontline providers. The other piece that I would want to underscore is our incredible gratitude to our frontline providers that have done an incredible job caring for both COVID patients and helping us effectively navigate through this complex pandemic. Your first question around ongoing recruitment of physician groups and individual physicians, your implied assumption is correct - we are seeing substantial interest in our practice model as well as in becoming part of OptumCare, and this is part of a multi-year trend that we have continued to grow, and as you know, we have relationships with multiple physician groups that are either affiliated or employed today, over 52,000 doctors in both categories combined, and we have seen continued interest and expect a pipeline of affiliated and employed physicians to grow robustly. Thank you.
David Wichmann: Thank you Josh, appreciate your question. Next question, please.
Operator: Well go next to AJ Rice with Credit Suisse. Please go ahead.
AJ Rice: Hi everybody. Maybe just to ask, a number of your business lines - commercial, large group commercial, OptumRx and OptumInsight are driven by large RFP activity, and I wonder--I think last time you had alluded to the fact that especially in OptumInsight, some of that RFP activity had been put on hold. Can you comment about how it’s returned to normal? Is this going to end up being a normal year in those segments, or are you seeing people put off for a year making large decisions until there’s some clarity around what’s happening with the pandemic?
David Wichmann: Sure, well why don’t we give you color from a number of different angles here, AJ. We’ll start with Dirk to give you a sense of what’s going on with UnitedHealthcare and their self-funded business and the RFP activity there, and maybe even as it relates to some of the government programs based business, then I’m going to pivot over to John Prince to talk about Rx, and then Robert Musslewhite to comment on the activities in the market segments of OptumInsight. Dirk?
Dirk McMahon: Yes, thanks Dave. AJ, hi. As I look at national accounts and I think about this selling season, what we really saw was that we’re about 60 days behind normal in terms of people making decisions for 1/1/21. As we sit here today, not all the decisions have been made, and as we handicap our wins and losses, what we expect will be roughly flat to a little bit up in terms of group wins and losses for 1/1/21, but really the tale is going to be told with respect to national accounts as to what attrition occurs throughout the remainder of the year.  I think that’s really it. I would say in terms of general RFP activity, I think I would say that in national accounts, these sorts of things just progressed, just at a little bit slower than what we had seen previously.  As it relates to Medicaid, I’ll turn it over to Tim Spilker, who will just give us quick thoughts on the RFP activity in ‘caid.
Tim Spilker: Yes, thanks Dirk, and thanks for the question. Yes, we’re excited about the activity that we’re seeing. As we mentioned earlier, both Kentucky and Indiana were really nice wins, and of course we were thrilled to see that North Carolina finalized its Medicaid funding for a 7/1/21 start. So understandably, as you suggested, states have delayed some of their procurement timelines, but overall we’re starting to see those pick up here over the next couple of months. We believe our value proposition is strong and well positioned for growth, and we’ll be ready for those procurements as they come through.
David Wichmann: By the way, that was Tim Spilker. He’s our new CEO of Community & State. You probably recall that Heather Cianfrocco was the former CEO. She was promoted to oversee Optum Health’s health services sector as its leader, and as you might suspect, we are positioning some of our strongest leaders into the Optum Health segment given the rapid growth expectations of that business over the next decade or so.  Maybe just touch on group Medicare too. Brian Thompson, you want to touch on that?
Brian Thompson: Yes, thanks Dave. As we look forward, group Medicare Advantage is shaping up to be a very strong year to 2021. Obviously a lot of large customers looking for value as they go through this time, and we’re really encouraged by a strong pipeline and some wins, and feeling very good about next year in that space as well. 
David Wichmann: Yes, the team has done really well in the government program space around growth, and they have a substantial amount of momentum and continue to capitalize on that momentum going forward. John Prince, you want to touch on Rx?
John Prince: Sure. Hey AJ, it’s John Prince. As you know, in the OptumRx business we’re in the middle of our selling season right now. We continue to have a very healthy pipeline and are very excited about the opportunities in the market. In the first half of the year, we had some good wins, especially in the commercial market, the labor market and the health plan market. As we pivot to the back half of the year, we’re more in the smaller size opportunities. As we look to the big opportunities we’re pursuing right now, most of them are for 2022 selling season, so there is a robust pipeline for 2022. As you know, in the health plan business, this is the time frame where they make those types of decisions. In terms of movement in the market, we’re going to see less movement in the 2021 selling season, as we have seen in previous years. Overall, I think our retention is going to be very strong, as it has been for the last four years. We’re going to be tracking to the high 90s, as we’ve been tracking before, so we’re going to see strong growth. I think our story is resonating in the market. We’re seeing strong focus on client affordability, our tools around making sure members stay healthy and get healthy, and creating a great client experience, so overall strong growth in the market. 
David Wichmann: Then I’ll ask Robert Musslewhite to round it up here, really talking about both the activity with health systems, who have been extremely busy, and then also with health plans.
Robert Musslewhite: On the provider side of the business, and thanks AJ for the question, we have felt like while there’s certainly been some disruption during the quarter in some of our smaller technology deals, on the larger deals the pipeline continues to be strong and interest remains high. Given what’s happened with health systems during the quarter, we think that these larger comprehensive partnerships will continue to be very attractive to health systems that align with us across our commitment to total cost of care reductions and affordability, patient quality, and consumer centricity. These types of partnerships, as we’ve seen in the past, not only help mitigate liquidity and cash flow issues in the near term, but importantly accelerate the broader transformational clinical and structure work in the medium and longer term. In that light, we’re particularly pleased to be, having announced yesterday our partnership with Boulder Community Health, which is again a comprehensive new relationship focused on multiple things, including and importantly sharing outcomes in the clinical domain, and really see this as indicative of the broader pipeline that we see across our health system clients. We feel very good about the ability to continue to support them there. On the payor side, again a similar story. Obviously there have been places during the quarter where we’ve had some impact on payors’ willingness to step forward with large deals, but still feel very good about the pipeline going forward where we’re able to provide a lot of value and support to our payor partners going forward, and feel good about the pipeline there in the second half of the year.
David Wichmann: Thank you Robert. AJ, hopefully that was responsive. Thank you for the question.  Next question, please.
Operator: We’ll go next to Charles Rhyee with Cowen. Please go ahead, your line is open. 
Charles Rhyee: Yes, thanks for taking questions. Just wanted to follow up on someone’s earlier question. If we think about the additional billion dollar and premium rebates you guys are looking to push out, should we think about that as a starting point for additional rebates, and what’s the timing as we think that runs through the P&L? As we think about that, are there some states, I think that are excluded since--you know, we’ve spoken with some experts, they suggest some states have anti-kickback or anti-rebate rules that limit your ability to rebate premiums back intra-year. Can you give us some thoughts around that, how that kind of plays out across your business? Thanks.
David Wichmann: Sure, so the additional billion--or the billion in premium rebates is a best estimate at this point in time. As these things move and we continue to deal with the evolution of the pandemic, as well as the impacts on the economy, that number will shift around. It’s required to be reflected in your results on a current term basis, so it’s reflected in the results that you see so far year-to-date, so it’s already through.  Then as it relates to rebates, yes, there are anti-kickback rules, and all those things we have a very complex set of engagements that we need to make with insurance commissioners and others to make sure that we can return these funds. We have engaged in that and have been successful at getting concurrence with them around providing these rebates. Obviously it’s a lot easier to give money back than it is to ask for new, and so they’ve been very receptive and very collaborative and extremely appreciative that we were as proactive as we were and as early as we were in providing needed relief to our commercial members, as well as the actions that we took on the Medicare front. Thank you for the question. Next question, please.
Operator: The next question is from Robert Jones with Goldman Sachs. Please go ahead.
Robert Jones: Great, thanks for the question. Maybe I just wanted to ask on dis-enrolment, enrolment in the commercial and Medicaid books. It seems like the heightened unemployment environment has obviously having an impact on commercial enrolment, so I was hoping maybe you could share your thoughts on how you’re thinking about this enrolment in the commercial book in the back half.  Then relatedly, do you feel that so far you’ve been able to capture commensurate market share on the increased Medicaid market, particularly as we think about recent evidence that previously furloughed employees are becoming more permanently laid off and potentially, obviously, entering that Medicaid space?
David Wichmann: Yes, so what we’re seeing so far is a lot of furloughs versus layoffs to reduce costs in the short term. In many cases, clearly this allows them to maintain medical benefits throughout. What also has benefited our overall enrolment is the impact of the stimulus actions. The impact on commercial enrolment hasn’t been as great as we would have otherwise thought based on the unemployment data, just because of the stimulus as well as the furloughs. We’re looking and we’re continuing to work with our broker partners and with our employers to try to find folks--to try to find other coverages for folks if they don’t stay in commercial.  What I would say is in the Medicaid space, what we’ve seen so far is the redeterminations have been put on hold, so we’ll see. People go to our commercial products as we--our individual products as we pace forward, and we have a fairly broad commercial and individual products as well, so we may be able to recapture our share, but there’s no doubt that there’s going to be sort of delayed impact because of the stimulus actions and it will be a little bit more pronounced in the second half, but we think we’ve held our own so far. Thank you Robert. Next question, please.
Operator: The next question is from Sarah James with Piper Sandler. Please go ahead.
Sarah James: Thank you. [Indiscernible] cost shifts between ’20 and ’21. How much of the [indiscernible] ’20 versus ’21, is there any SG&A that can be pulled forward into ’20 from ’21, and are you making any changes in completion factor assumptions? Thanks.
David Wichmann: John Rex?
John Rex: Good morning, Sarah, how are you doing? A few things, comments on that in terms of just thinking about how those costs play out. I guess I’d first point out, as you can appreciate, we’re quite respectful of the highly fluid situation and mindful of how rapidly the situation is evolving. [Indiscernible] sets up a view that as the maintained earnings outlook would imply [indiscernible] the carrier that we had expected to be delivered in 2020, you know, we look into the back half of the year. [Indiscernible] that way or not, or whether as you suggest, some of that moves into 2021 also is in part a component of how quickly systems, health delivery systems reopen and how fully they stay open, and also just the consumer preference in terms of their comfort of going into these settings. All those are elements that play out in this thing, so we’re being quite respectful of that situation as we look forward on that and how that plays out into ’21. Certainly some of that could end up in ’21. In terms of cost, I think what you’re referring to is investments that we would choose to make being heavily, and we’re investing heavily in part in response to COVID-19 and in response to the pandemic. You probably saw some of that even in our operating cost ration this quarter in terms of the investments we’re making on a current period basis to serve people and to enhance and strengthen our capabilities as we look forward. Those are the main components that I’d point out in terms of how we’re acting and how we’re looking ahead to serve.
David Wichmann: And Sarah, one of the things we did was we maintained our full workforce, so nobody’s been laid off or furloughed or dismissed because of COVID-19, and in part because we knew that on the other side of this initial activity that the health system would come back online and consumers would be accessing care, so we needed to make sure that we were prepared to respond to the market demands just as quickly as possible.  Because of all that, the service through this time period, we [indiscernible] virtually all the lines of business at Optum and the same thing with--I’m sorry, UnitedHealthcare and the same with Optum. We’ve seen a nice improvement, so we’re making sure that we utilize this time well and make those investments provide the right kinds of returns, so that we’re creating additional trust with the marketplace. I think that’s playing out nicely.  Thank you for your question, Sarah. Next question, please.
Operator: The next question is from Scott Fidel with Stephens. Please go ahead.
Scott Fidel: Hi, thanks. Good morning. Interested if you can talk a bit about the NaviHealth deal and give us an update maybe on your broader post-acute strategy. Just in particular, interested around whether you would envision Optum moving further to continue to acquire more direct home health and provider assets, or whether you would see the strategy for post acute being more of a convener, like NaviHealth is right now. Thanks.
David Wichmann: I think a little bit of both. Wyatt?
Wyatt Decker: Yes Scott, thanks for the question. First, I would tell you how excited we are and pleased we are to welcome the team of NaviHealth to Optum United Health Group. Second, I would say just to frame it, when you look at seniors in the United States, there’s over a $60 billion spend in the post acute space, which historically has not been well managed both in terms of the patient experience and expenses. We think there is a tremendous opportunity, and you can look forward with NaviHealth as well as our own capabilities and our colleagues at Sound Physicians, which is a hospital staffing group focused on hospitalists who are very engaged in the post acute transition, to continue to build capabilities to help both patients and people manage that post hospitalization period with the best outcomes and the best experience. More to come, but we’re very excited about this combination of our colleagues at NaviHealth.
David Wichmann: Yes, we leaned in a lot to the digital activities and the way in which we’re engaging or assembling our resources across our company to really create a unique and distinctive home clinical experience. That includes the engagement of our physical resources, our nurses that already go into homes, so I could see us very much being a home through ambulatory, surgical capacity company. As it relates to the home in particular, our interest would be primarily in deploying skilled health services, so we would not be as inclined around the other home-based care services around ADL management and things of that nature. We probably would continue our focus on skilled clinical resources.  Thanks for the question, Scott. Next question, please.
Operator: The next question is from Kevin Fischbeck with Bank of America. Please go ahead.
Kevin Fischbeck: Great, thanks. My guess is that at this point, you’re not going to give a point estimate, but just want to conceptually understand about next year’s earnings. This year, you’ve done a lot to make sure that you don’t capitalize on COVID, making sure that you serve the customers and the providers to make sure that you’re not earning more than what your guidance was going to be this year. As we think about next year, is there conceptually any reason why you wouldn’t expect to be earning target margins on your different products? If we’re still hitting a recession but didn’t have COVID, would you expect to be hitting the same kind of margins you normally would in a scenario like that, or is there any reason to believe that next year’s margins across your businesses would be somehow different than normal?
David Wichmann: Yes, it’s really hard to tell. We normally don’t give guidance at this stage, Kevin, for 2021. Sometimes we give impressions, but given the volatility of the market as it stands right now and more the near term focus that we have in making sure that we’re serving our patients, members, customers, and then keeping our people safe, including 120,000 clinical resources out on the front line of care, we’re just not really in a position to talk about 2021. We’ll probably give you some sense of that in the Q3 call, but maybe not quite as clear as what we may have given in the past, just looking forward. I would see our investor conference as being the place where I think we can give you the best sense of things. As it relates to our core performance of our businesses, they’re performing well. We’re not talking about their individual performances anymore because there is nothing normal about how any of them are performing at this stage. Collectively, they’re doing a great job and they’re right on expectations, and they’re right on the expectations that informed the guidance that we gave you back in December, maybe a little bit ahead. So they’re performing really well, I just don’t think at this time it’s the right time for us to be thinking about where we’ll land in 2021 on margins. We’ll try to do a better job of that for you in the Q3 call and in the conference later this winter.  Thank you Kevin. Next question, please.
Operator: The next question is from Ricky Goldwasser with Morgan Stanley. Please go ahead.
Ricky Goldwasser : Yes, hi. Good morning. As we had into the election, we’re getting a lot of questions from investors around a potential public option. Can you maybe discuss your thoughts on the dynamics of the health insurer market should a public option be instituted? 
David Wichmann: Sure Ricky, thank you for the question. I’ll just go ahead and take it. We’ve seen at the state level some indications of efforts around public options. I think the one that’s probably most prominent is the one that occurred in the State of Washington, which ended up being an augmentation of their exchange, a set of product offerings on that. You probably have noticed that we bid and we were one of the successful bidders, and are currently in contract negotiations to provide an offering on that exchange. What’s interesting about that from our standpoint is that we have a very strong relationship with the State of Washington. We have significant care delivery capacities in that state and we serve 220,000 Medicaid and over 40,000 dually eligible individuals as well. There is kind of a unique program design there that really uses, I’ll call it roughly a reference based pricing, and we’re curious to see how we perform in competing on a reference based pricing basis because it’s not unusual for us to have a disadvantage on discounts when we’re competing [indiscernible] given the size and significance of those players in the overall market. We actually think this will be a nice test to see what the [indiscernible] our business will be. Generally speaking, we’re not a strong supporter of these public option proposals, and primarily because they disrupt current coverage platforms which consumers value and appreciate. We believe there’s a near universal coverage system already in America today. It’s obviously not complete and it has some gaps, but we believe those gaps can be closed and think that consumers much prefer that we leverage the existing commercial Medicare and Medicaid markets to provide the types of coverage options and coverages that are necessary for America. The areas that [indiscernible] around Medicaid, and we’re obviously strong supporters of the states that have not expanded to expand, we believe Medicaid is a strong coverage option for--you know, encourage [indiscernible] that occurs. The other area would be that we see a lot of the uninsured are actually folks that have an affordable coverage option available to them, but they don’t necessarily enroll, and particularly in Medicare where there’s--Medicaid, excuse me, where there’s about 8.5 million people that are currently uninsured but have Medicaid option available to them, so we’d be strong proponents of passive enrollment as well to ensure that Americans are getting the coverages that are made available to them by states, federal governments, and the private insurance system. With that, thank you for the question, Ricky. Next question, please.
Operator: We’ll go next to Steven Valiquette with Barclays. Please go ahead.
Steven Valiquette: Hi, thanks. Good morning everyone. Thanks for taking the question. Back of the envelope type math for the full year, EPS guidance to remain at [indiscernible] MLR in the back half of 2021 would have to be maybe somewhere in the 80s [indiscernible]. I guess really my question is just given the trends that you’re seeing in June and July around utilization, I guess I’m curious whether you’re generally assuming that the MLRs will be fairly consistent in both third quarter and fourth quarter, or would you perhaps see more of your proactive spending gravitate more towards the fourth quarter when thinking about the mechanics of this for the back half? Thanks.
John Rex: Yes, good morning Steven. A few impacts going on as we think about the progression. Definitely there are the proactive actions that we’re taking to help people that have impact in the quarters here. Typically we would think about there still being a ramp, though, in terms of the system reopening, so as we--as we exited June and we were trying to give you as much clarity and transparency as we could in terms of what we’re seeing real time, seeing systems reopening, that at this point they’re still not fully open. They are getting close, they are near normal, but not what we’d call fully reopened. That will continue to track over the course of the second half, and we would continue that, so I would expect there would be some trajectory that would go on just from that component as those reopen.  Creating some offset in that, certainly we have a lot of actions also that are impacting and will impact in the near term as they come on and seniors are able to access care and move through using the co-pay eliminations that we’ve put into place. All of those have quite a bit of impact. At this distance, I would tell you we’re kind of in the--just given the variability, we’re kind of in a zone where those impacts probably have offsetting impacts, and we’re kind of sitting in a zone of we’d look for relatively consistent levels throughout. Typically we have more--you know, you get a little more impact, though, as you get into 4Q. Our historical patterns would show that. 
Steven Valiquette: Okay, appreciate the extra color. Thanks.
David Wichmann: Thank you Steven. We have time for just a couple more questions. Next question, please.
Operator: We’ll go next to Ralph Jacoby [ph] with Citi. Please go ahead.
Ralph Jacoby: Thanks, good morning. You mentioned June returning to near normal levels, but I think I heard John also say that it continued into July despite the COVID spikes. Is that correct, and why do you think that would be the case versus retrenching again? Then you mentioned acuity. Any help on how meaningful a driver that could be on trend in the second half, given deferral, and if you’ve already seen that? Thanks. 
John Rex: Morning Ralph, John Rex. Yes, you’re accurate in terms of my commentary in the prepared comments here. The trends we’re referring to are national trends. You are absolutely correct - if we were to go into pockets, into certain metro regions in the country where you’ve seen some spiking in terms of infection rates and such, we’re seeing impact in those particular regions, but those are very particular regions in terms of that [indiscernible]. When we’re talking about what we’re seeing through July, it’s very much at a national level in terms of impact.  Dirk has a little additional color commentary also. 
Dirk McMahon: I would say we would expect the infection rates to ebb and flow based on geography [indiscernible] broad-based shutdown. Those places where that ebb and flow occurs, we would expect [indiscernible] impact. Obviously [indiscernible] more markets individual [indiscernible] but overall, like we said on the call today, utilization is going to come back during the second half of the year.
John Rex: And Ralph, on your question on acuity, a little too soon to really call that one right now. When we expect individuals with chronic conditions that have missed treatments, and as they come back into the system and coming back potentially with a higher acuity level, it’s a little too soon to really be seeing that in the current trending that we are looking at as we sit here today. It really isn’t showing up yet, but we expect that to show up as systems continue to reopen, and really importantly, consumer comfort level increases.
Dirk McMahon: I mean, it’s kind of hard to ignore the number of new diagnoses that dropped off. It’s hard to ignore the drop-off in heart attack, stroke. You can imagine it was fear of consumers going to an ER that caused them not to access the health system, so we--it may be speculative here, but I think the data that we see suggests that there will be some intensity in the services that people receive. We’re prepared to make sure that we facilitate them receiving those services.
Operator: [Indiscernible] with Deutsche Bank. Please go ahead.
George Hill: Hey, good morning guys, and thanks for sneaking me in at the end. I guess just to wrap it up, could you guys talk a little bit about the AbleTo acquisition, kind of how you think it fits into your primary care delivery model that you guys have constructed, your other telehealth partnerships, and the digital health initiatives? Thank you.
David Wichmann: Wyatt, you want to take it?
Wyatt Decker: You bet. We’re also very pleased to welcome the team from AbleTo, and as you alluded, there is enormous capabilities there in providing [indiscernible] to those suffering from mild, moderate, and in some cases even severe behavioral and substance use disorder conditions. [Indiscernible] leverage the capabilities in a more comprehensive fashion with other capabilities, including [indiscernible] care, which we have seen an enormous uptick in as well. Today, [indiscernible] visits, over half are being provided in the outpatient setting using digital capabilities, and AbleTo has very sophisticated tools that allow individuals to address their behavior healthcare needs, so we’re very pleased about the partnership and we look forward to continuing to build out both their and our capabilities. Finally, to your point about embedded solutions in primary care, we have begun that journey, and in fact within OptumCare you’ll find a number of our practices have embraced this today and able to provide more advanced capabilities to use digital tools in that setting as well. So yes, we will continue that integration.  Thank you.
David Wichmann: Yes, both NaviHealth and AbleTo are organizations that we’ve aligned to in the past, so we have a history of a strong working relationship and knowledge--good strong, intimate knowledge of the performance of these businesses and where their innovative capacities lie. They just have really strong management teams and do a very good job managing their respective markets. Thank you for your engagement today. This is a unique time in our history and in the history of healthcare. As you have come to expect from us, we will continue to meet this unprecedented environment with the highest level of integrity, compassion, and agility. UnitedHealth Group is built to be an adaptable company, and as we’ve seen in the past several months, you can expect the following from us, that we will continue to lean into challenges of the current environment with the full capacity of this enterprise and proactively seek ways to collaborate and partner with others.  As we work together to serve society through COVID-19, we will fairly resolve any economic imbalances that may arise while we continue to lead in the development of the next generation health system in a socially conscious way so that everyone can be served equally, one person, one provider, one health system at a time. With your continued support, we expect to grow and emerge an even stronger company in the years to come. Thank you. We look forward to talking with you again next quarter.
Operator: This does conclude today’s program. Thanks for your participation. You may now disconnect. Have a great day.